Operator: Good morning. My name is Bonnie, and I will be your conference operator today. At this time, I would like to welcome everyone to the Iron Mountain Third Quarter 2010 Earnings Call Webcast. [Operator Instructions] I would now like to turn the call over to Stephen Golden, Vice President of Investor Relations. Mr. Golden, you may begin your conference, sir.
Stephen Golden: Thank you, and welcome, everyone, to our 2010 third quarter earnings conference call. After my announcements this morning, Brian McKeon will review our financial results, followed by Bob Brennan's CEO remarks. When Bob is finished with his comments, we'll open up the phones for Q&A. I would like to take this opportunity to thank everyone who attended our 13th Annual Investor Day in New York earlier this month. We are pleased with the turnout, and hope you found the presentations informative. As always, we appreciate your support. For our custom, we have a user-controlled slide presentation on the Investor Relations page of our website at www.ironmountain.com. Referring now to Slide 2. Today's earnings call and slide presentation will contain a number of forward-looking statements, most notably our outlook for our 2010 financial performance. All forward-looking statements are subject to risks and uncertainties. Please refer to today's press release, the Safe Harbor language on this slide or our most recently filed annual report on Form 10-K for a discussion of the major risk factors that could cause our actual results to differ materially from those contemplated in our forward-looking statements. As you know, we use several non-GAAP measures when presenting our financial results. Adjusted OIBDA, adjusted EPS and free cash flow before discretionary acquisitions and investments, among others, are metrics we speak to frequently, and ones we believe to be important in evaluating our overall financial performance. We provide additional information and the reconciliation of these non-GAAP measures to their appropriate GAAP measures as required by Reg G at the Investor Relations page of our website as well as in today's press release. With that, I'd like to introduce our CFO, Brian McKeon.
Brian McKeon: Thanks, Stephen, and good morning, everyone. Slide 3 highlights the key messages from today's review. We continue to drive strong financial performance in the third quarter. Reported revenue growth for the quarter of 2% was in line with our outlook. Results were supported by solid gains in our International Physical segment, strong growth in hybrid services and benefits from higher recycled paper prices. Revenue growth continues to be constrained by economic factors, which contributed to very soft core service activity this summer. Adjusted OIBDA came in above the high end of our guidance range, driven by continued benefits from productivity initiatives and lower incentive compensation accruals. Adjusted OIBDA increased 13% in Q3 and 11% year-to-date versus the prior year. Adjustments to incentive compensation accruals added about five points of growth in Q3 and four points of growth on a year-to-date basis. Adjusted EPS for the quarter was $0.35 per share, an increase of 39% compared to the same period last year. Our reported EPS was a loss of $0.76 per share, including a $1.24 per share after-tax charge for the Digital goodwill impairment. As we proactively advance changes to improve performance in our Digital business, we evaluated our Digital business carrying value, resulting in a $255 million estimated goodwill impairment charge. We'll finalize the amount in the fourth quarter and record any adjustment if necessary at that time. It's important to note that this charge does not impact revenue, adjusted OIBDA, adjusted EPS or free cash flow. Both Bob and I will discuss this more fully later in our remarks. Also included in reported EPS were benefits for the impacts on Other Income and our effective tax rate related to the weakening of the U.S. dollar within the quarter and the gain on the sale of our domain name management product line. For the full year, we're raising our adjusted OIBDA outlook reflecting the strong year-to-date performance and benefits from lower incentive compensation accruals. We're also raising our full year cash flow outlook to reflect lower capital spending projections and expected benefits from recently enacted U.S. tax legislation. We're refining our revenue outlook as well to incorporate current internal growth trends and foreign currency exchange rates. Let's now turn to Slide 4 and begin our review of the third quarter results. Slide 4 compares our results for this quarter to the third quarter of 2009. Q3 was another solid quarter of financial performance. Enterprise revenue growth was 2%, in line with our outlook with overall gains constrained by continued softness in core service activity. Continued strong profit performance was supported gross margin gains and benefits from lower incentive compensation accruals. From a segment perspective, North American Physical posted 2% internal growth supported by strong complementary service revenue performance, including benefits from higher paper pricing and hybrid service revenues. Storage internal growth was 1% in Q3. North American records management volume growth moderated as continued higher outgoing volumes offset new sales gains. As expected, there was some moderation in average net price gains, which are now trending in the 2% range for Records Management, due in part to lower CPI levels. Episodic destructions in our Physical Data Protection business constrained growth in that service line and also contributed to lower storage revenue growth. Core service revenues declined this summer, consistent with overall soft economic conditions. Our International Physical segment generated 5% internal growth. Storage internal growth was a solid 6%, supported by strong performance in the expansion markets. Reported revenues for this segment were 3%, including the impacts of foreign currency exchange rate changes. In our Digital segment, reported revenue declined 1% in the third quarter as gains in backup and archiving services were offset by the divestiture of our domain name management product line and continued pressure on eDiscovery revenues. We expect continued pressure on Digital revenue growth in the near term as we work through comparisons to stronger prior year growth in areas such as eDiscovery. We continue to translate moderate overall revenue growth into strong gross profit gains. Gross profit increased 6% versus the prior year, yielding a 220 basis points margin improvement. Higher storage gross margins, particularly in the International segment are supporting these gains. Continued benefits from productivity initiatives drove higher service margins, which were also a key contributor to our improved performance. Adjusted OIBDA grew 13% to $254 million. This increase was driven by gross profit gains, controlled SG&A spending and lower incentive compensation expense, which added about five points of growth in the quarter. These gains were partially offset by Mimosa integration costs and targeted investments in growth initiatives. Below the adjusted OIBDA line, depreciation was $77 million and amortization was $10 million, in line with our forecast. Other Income for the quarter was $9 million, including a $7 million gain on the sale of our domain name management program line and a $4 million gain related to foreign currency rate changes in the quarter. These were offset by an early debt extinguishment charge of $2 million. Adjusted EPS for the quarter was $0.35 per share, an increase of 39% compared to the prior year, reflecting strong operating performance combined with lower interest expense. Reported EPS for the second quarter was a loss of $0.76 per share, including the impact of the $255 million non-cash charge for the Digital goodwill impairment. The structural tax rate for the third quarter was 38%, in line with our expectations. Including the impact of discrete tax items primarily related to the impairment charge, the effective tax rate for the quarter was minus 16%. It was minimal tax benefit associated with the goodwill impairment charge as the majority of goodwill associated with our Digital business is non-deductible. Also included as discrete tax items was a reversal of worldwide tax reserves due to lapses of statue of limitation periods and settlements with taxing authorities, and the positive impact of foreign exchange rate changes in the quarter. These benefits more than offset a charge to establish a valuation allowance, reflecting recently enacted U.S. legislative changes impacting the expected utilization of foreign tax credits. We expect the structural tax rate for 2010 to be 39%. Let's now take a closer look at our revenue growth on Slide 5. Slide 5 breaks down our overall revenue growth. It shows internal growth by major service line as well as the impact of acquisitions and foreign exchange compared to our 2010 full year outlook. Total internal growth for the quarter was 2%, consistent with the prior quarter. Economic factors continue to constrain service activity levels and storage growth. Core activity correlates with employment and general economic trends and has remained soft in recent quarters. The internal growth rate for core storage revenues was 2% in the quarter. Records Management volume growth moderated slightly as continued higher outgoing volume levels in North America offset new sales gains and solid momentum in international markets. Storage revenue growth also reflected moderated average net pricing gains in North American Records Management and episodic destructions in the Physical Data Protection business. We expect Storage internal growth for 2010 to be in the 2% to 3% range. Core revenue internal growth was 1% in the third quarter, primarily reflecting lower core service activity levels. We're planning for continued weakness in core service revenues until we see clear signs of improvement. For the full year, we expect core revenue internal growth to be in the 1% range. Solid growth in our complementary service revenues was supported by higher recycled paper prices and strong gains in hybrid service revenues. These gains were partially offset by lower eDiscovery revenues and the lapping of a large European project. Overall, revenue growth trends remain relatively consistent. Income and volume growth is stabilizing, and we're seeing some improvement in new sales. Offsetting these trends are continued weakness in core service activities and moderated net average pricing in the North American Box business, due in part to lower CPI rates. As a result, we expect full year internal growth to be in the 2% to 3% range. At recent exchange rates, we expect the FX impact to increase revenue growth this year by about 1%. Acquisitions net of the domain name product line divestiture are expected to add less than 1% to total growth. Let's now turn to Slide 6 to review our year-to-date performance. Slide 6 shows our year-to-date operating performance compared to the first nine months of 2009. Despite the ongoing economic factors that are constraining revenue growth, we continue to drive strong profit and cash flow performance. Gross profit increased 9% to $1.4 billion, yielding a 220 basis point improvement in gross margin for the first nine months of 2010 compared to the same prior-year period. These results are supported by continued benefits from North American productivity initiatives, solid international operating performance and higher recycled paper prices. Gross profit gains are sustainable and position us well for flow-through benefits for higher growth when the economic conditions improve. Adjusted OIBDA grew 11% for the first nine months of 2010 compared to the same period in 2009. Strong gross margin gains, controlled overhead spending and lower incentive compensation expense, which added about four points to growth, drove the increase. Solid underlying operating performance and lower interest expense drove a 24% increase in adjusted EPS compared to the first nine months of 2009. Disciplined capital spending combined with strong operating profit gains drove a 12% increase in year-to-date free cash flow compared to the same prior year period. Let's move now to Slide 7 for a year-to-date review from a segment perspective. Slide 7 shows key metrics for each of our four segments compared to the first nine months of 2009. The strength of our business portfolio is enabling strong sustainable financial performance. Our year-to-date results reflect solid gains in our North America and International Physical business segments. North America, our largest segment, continues to post solid revenue growth while driving higher profits and strong cash flows. As highlighted at Investor Day, we're capitalizing on our leadership in this segment to expand our services and drive the strong returns that flow from our recurring revenue model. Our International segment is delivering solid revenue gains supported by strong growth in the expansion markets. Select cost accrual impacts have lowered International segment adjusted OIBDA by about $8 million year-to-date. Excluding these effects, the segment is driving solid comparable margin gains and strong profit growth. These gains reflect benefits from driving operational excellence initiatives in the developed markets and from building scale across our business. Continued benefits in these areas are expected to be a key contributor to our overall profit performance going forward. In our Digital business, we continue to work through economic impacts that have pressured this business in recent quarters. As Bob will discuss in more detail, we're actively advancing efforts to better integrate our Digital services into Iron Mountain, to accelerate growth and cost efficiencies. As noted earlier, we proactively reassessed the value of our Digital goodwill in Q3. This resulted in a $255 million impairment related to our worldwide Digital segment and a $1.24 reduction of reported EPS. This impairment reflects a combination of factors including recent economic pressures on the Digital business and specific recent challenges related to our eDiscovery business. At a higher level, it's taking longer than originally anticipated to build this business towards higher scale and profitability. We're taking proactive steps to improve performance in Digital, including changing leadership, integrating sales efforts to drive our growth and integrating elements of support operations to drive cost efficiencies. Digital services are an important part of our integrated value proposition and our long-term potential. We'll continue advancing positive steps to strengthen our sales performance and returns in this business. Let's turn to Slide 8 for a more detailed look at our capital spending and free cash flow. Slide 8 summarizes our capital spending and our free cash flow on a year-to-date basis. We continue to drive strong cash flow performance through a disciplined approach. Total capital spending was up $174 million for the first nine months of 2010, including $7 million for real estate. We remain focused on driving efficiencies in our capital spending while supporting key growth initiatives and projects that help drive long-term return improvement. As a result of higher operating profits and lower capital expenditures, free cash flow before acquisitions and discretionary investments in real estate was $260 million for the first nine months of the year, a 12% increase over the same prior-year period. We remain solidly on track for record performance in both capital efficiency and free cash flow. For 2010, we're increasing our expectations for free cash flow before acquisitions and discretionary investments in real estate to approximately $350 million to $380 million. This reflects a strong year-to-date performance, expected benefits from recently enacted U.S. tax legislation, and updated projections for capital spending in the $270 million range. Our strong operating cash flow allows us to invest towards long-term growth in our business while also supporting shareholder payouts. In the third quarter, we acquired 1.8 million shares of our stock for approximately $40 million. As of September 30, we have acquired 4 million shares for approximately $95 million year-to-date. As we announced at Investor Day earlier this month, our Board recently approved a $200 million increase to our existing share repurchase program. This authorization is in addition to the $150 million authorization announced earlier this year, which as of September 30 had approximately $55 million remaining. This leaves us a balance of $255 million for additional share repurchases. Let's now turn to Slide 9 for a review of our key debt statistics. Our strong financial performance and focus on cash management continues to strengthen our balance sheet. Our debt portfolio at September 30, 2010, remains long and fixed. Our weighted average interest rate is 6.9%, and we're 87% fixed. Maturity is 7.1 years with no meaningful repayment obligations until 2014. Our consolidated leverage ratio decreased to 3.0x. Currently, our consolidated leverage ratio is at the low end of what we feel is a very manageable 3x to 4x leverage level for our company. During the quarter, we used excess cash to fund a $200 million partial redemption of our 7 3/4% senior subordinated notes due in 2015. This transaction reduces our annual interest expense by about $16 million. We're also well positioned in terms of cash and financing capacity. Liquidity is more than $945 million, with $184 million in cash and $762 million in additional borrowing capacity as of quarter end. This concludes our review of the Q3 2010 results. While the digital asset impairment impacted our reported profit results, our underlying operating profit and cash flow performance remains strong commercial, reflecting our disciplined management approach and strong business foundation. Let's now to turn to Slide 10 to discuss our financial outlook. Slide 10 summarizes our full year 2010 and Q4 guidance. We remain on track for strong financial performance this year. For 2010, we now expect revenue to be in the range of $3,120,000,000 to $3,140,000,000, at the lower end of our guidance range. This represents reported revenue growth of about 4% including internal revenue growth of between 2% and 3%, and 1% to 1.5% of combined acquisition growth and FX benefit. We're increasing our profit outlook reflecting productivity gains, controlled spending and benefits from lower incentive compensation accruals. We expect adjusted OIBDA of $940 million to $955 million up 8% to 10% versus prior year. Adjusted EPS is now projected in the $1.12 to $1.16 range or growth of 14% to 19%. As noted, we're increasing our free cash flow outlook to $350 million to $380 million, reflecting the flow-through of strong operating performance, expected benefits from recent tax legislation and projections for capital expenditures of about $270 million for the year. The capital outlook includes about $15 million for real estate. As noted earlier, the digital asset impairment has no impact on revenue, adjusted OIBDA, adjusted EPS or free cash flow. For Q4, we're projecting revenue of $780 million to $800 million and adjusted OIBDA in the $233 million to $248 million range. Thanks, and now, I'd like to turn the call over to Bob.
Robert Brennan: Thanks, Brian, and good morning, everyone. The third quarter was another quarter of solid operating performance for Iron Mountain as we benefited from our strong business foundation, combined with our commitment to operational excellence and global service expansion. I'll discuss this more fully later in my remarks, but I want you to know that we're taking proactive steps to address the challenges currently facing our Digital business and get it back on track. This ongoing review has resulted in a $255 million impairment charge that Brian described in his comments. First, I will briefly review our current business performance and talk about what we're doing to continue delivering solid financial results. I also want to reinforce the key messages delivered at our recent Investor Day held earlier in the month, specifically, that we have a strong sustainable business foundation, that we continue to deliver excellent financial performance and improved returns, that we're focused on improving our growth trajectory to targeted strategies and that we intend to create long-term value as a leading information management services company. Let's first discuss our Q3 results and current business trends. As we discussed at Investor Day, we continue to work through the challenges of a tough economy that are moderating our revenue growth. As recently as 2008, our internal growth rate was 8%. Since that time, we've moderated to the 2% to 3% range where we are currently. Most important change in our growth rate is the decrease in core service activity levels driven by the economy. In Q3, we saw continued pressure on these core service activities, reflecting impacts from high unemployment, excess office space and generally lower levels of spending. We've also seen moderating in storage revenue growth. Trends have been stabilizing on this front, and in Q3, Records Management volumes globally were up about 1%. This is down slightly from Q2 growth as a solid international growth and momentum in new sales were offset by sustained higher North American destruction and withdrawal levels. As expected, we've also seen some moderation in average net price gains in our North American Records Management business, from the 3% range to the 2% range, reflecting business mix impact and effects from currently low inflation. In other areas such as state balding, we've seen impact from episodic customer reductions and container storage, which constrained gains in the quarter. Again, we see these impact as primarily economic in nature, and our current outlook incorporates our expectation for the continued effects from these type of factors until we see a clearer sign of improvement in economic conditions. Despite these impacts, we're driving positive revenue gains, and we continue to advance our long-term growth agenda. International growth remains solid with sustained 6% growth in Storage revenues and strong performance in the expansion markets. For example, in Spain, we managed active medical records at hospital groups [indiscernible] and expand our services to other hospitals in that group during 2011. In Germany, we added Santander Bank to our listed new Records Management customers. And in the Czech Republic, we've added recurring storage and service revenues at OBI. We continue to drive new sales initiatives to strengthen our North American core volume growth. During the quarter at Target, we added secure shredding to the hard copy and tape vaulting services we've been providing to them for the past decade. At Exelon, we've added records management data protection and secure shredding to an existing vital records program. And at Chan Hospital [ph], we added release of information, shredding services and special project work to their existing Records Management program. And as I mentioned at Investor Day, we added FedEx as a new customer where we've really been deploying a comprehensive shredding solution to 1,800 retail locations in one month's time. We also continue to build momentum in our hybrid services, with double-digit gains that help support strong complementary service revenue growth during the quarter. In just a couple weeks' time, we closed a $500,000 litigation support project with a leading sports retailer, and as in most hybrid projects, this will likely lead to additional work. We're also making progress in developing technology services as part of an integrated value proposition. Under Harry Ebbighausen's leadership, we're advancing tighter integration of our Digital services into Iron Mountain's core operations to accelerate revenue growth and capture cost efficiencies. While areas such as eDiscovery remain constrained by legal cost pressures, we continue to make solid progress expanding our industry-leading PC backup and e-mail archival solutions. During the quarter, we closed a substantial PC backup and e-mail archiving management deal with Varian Semiconductor and several deals closed with our Mimosa acquisition as a result of an integrated value proposition, including sales with Select Medical, Yuri Insurance [ph] and Sears. We're also refining our product strategy by divesting nonstrategic offerings such as our Data Domain business, which we sold during the quarter. As I noted at Investor Day, our Digital business is facing some important challenges and has been impacted recently by execution that's below our high standards, a tough economy, and shortfalls in the eDiscovery business, significant shortfalls. We're being proactive to address these challenges in our Digital business. I've made significant leadership changes, we're strengthening the points of integration with our core business, and we're more sharply focused on advancing the growth of our industry-leading services through our enterprise sales force. Now as part of this ongoing review, we look closely at the carrying value of the business and determined that a reduced value is more appropriate under the current circumstance. This resulted in the $255 million impairment charge that Brian described. I want you to know that technology services remain an important part of an integrated value proposition at Iron Mountain, and I want you to remember that we have leading businesses in PC backup, in intellectual property management, in e-mail archiving, and that we're taking steps to improve our execution in this business and get it back towards higher growth and profitability. So while we aggressively meet these challenges, we're faced with and we meet them head-on, we also continued to deliver strong financial results, driven by our focus on operational excellence and global service expansion. We continue to drive higher profits and improved capital efficiency, and this has led to significant increases in our free cash flow and a strength in balance sheet. So let me sum up Q3. We continue to deliver solid positive revenue gains. We translated these gains into strong profit and cash results that are keeping us on track towards strong full year operating performance. And we're confident in our ability to address these opportunities that are within our control while we deliver strong profitability and cash flow performance. As we work through the immediate-term environment, we remain highly energized by the tremendous potential for Iron Mountain over the long term as we pursue the strategy I outlined for you at Investor Day. As we discussed at Investor Day, our primary goal is to bridge towards higher revenue growth by pursuing three areas: First, strengthening our go-to-market effectiveness where we're taking a very targeted, low-risk approach to improving our sales capability. Second, through international expansion, where the international markets are inherently attractive to us as a selling platform and where we have a proven approach. And third, through the expansion of new services in both the digital and hybrid markets, we're leveraging the power of Iron Mountain to capture significant long-term growth opportunities in large, fast-growing markets. So it's go-to-market, international expansion and the development of new services. That's our agenda, and we'll pursue this agenda within the context of delivering strong financial performance and improved returns as we continue to focus on operational excellence. We're on track towards delivering 8% to 10% adjusted OIBDA growth and record cash flows in 2010. This builds on the strong record of performance we've achieved over the past four years. It reflects the strength of our underlying business and the capability and discipline of our team. We look forward to reporting on our continued process in developing the potential and power of Iron Mountain. Thanks. Now we'd like to take your questions.
Operator: [Operator Instructions] Our first question comes from Vance Edelson of Morgan Stanley.
Vance Edelson - Morgan Stanley: Could you discuss current trends in destruction activity levels? Any change so far in the fourth quarter, and what's the immediate outlook? Do you expect activity to remain somewhat elevated through year end?
Brian McKeon: The trends in the quarter were relatively similar. We saw in North America continued higher outgoing volume in total. We saw some increase in permanent withdrawals. The overall volume growth in Records Management in North America was relatively flat. That offsets some progress we're making on the new sales front and solid gains in international. On balance, the Records Management volume trends were relatively similar, and that's what we're projecting in the near term. Obviously, we are advancing the new sales initiatives that we expect to have -- I think we're going to benefit -- benefit for us as we go into 2011.
Robert Brennan: The sales performance, Vance, remained strong.
Vance Edelson - Morgan Stanley: And similarly, the gains in backup and archiving services that you noted, did that momentum continue into the fourth quarter?
Robert Brennan: We're not reporting on the fourth quarter today, but we have had solid gains in backup and archiving services. And that has offset the pressure that we highlighted in areas like eDiscovery and the Digital business.
Vance Edelson - Morgan Stanley: Just wondering about the pricing trends for eDiscovery. The volumes are understandably weak, but what's the competitive environment like and how is that affecting pricing?
Robert Brennan: So pricing is the key contributor here, Vance. The price per gigabyte and price per matter has come down. And essentially, because of the secular pressure on the legal sector, they're trying to call the amount of data they review. So it is a significant price drop that's driving a lot of the pressures that we noted and a central part of the reason behind the impairment.
Operator: Our next question comes from Andrew Steinerman of JPMorgan.
Andrew Steinerman - JP Morgan Chase & Co: I heard you just mentioned permanent withdrawals in the context of a continued higher outgoing volumes. Just to be clear, is that a competitive dynamic or is this kind of an internal customer dynamic when we're talking higher outgoing volume levels? Is this something that you highlight against new or the same as what you've been saying?
Robert Brennan: More similar, Andrew, it does vary quarter-to-quarter. And the biggest competitor for us remains people doing this in-house, Andrew. And that's fundamentally when it comes to outgoing volumes or the fact that we can't get -- it takes longer to move somebody, and it's a function of them doing it themselves, generally speaking, versus that of a particular competitor.
Brian McKeon: We do track this and that's what we hear back from customers, is the larger factor on the permanent withdrawal front is people deciding to bring it in-house. There are competitive dynamics. It's, again, more similar than different. We do see quarter-to-quarter fluctuations. I think the key thing to hear is it's remained high in North America and on balance -- and in international markets, where we're seeing positive trends. So net-net, it's similar trends, more similar than different, but we continue to see a relatively higher level of outgoing volume, which is constraining overall volume growth.
Andrew Steinerman - JP Morgan Chase & Co: Just to square the point away, when you say in-housing or competition versus in-house, you mean, on the kind of a partial basis? You don't mean that there's customers actually changing their minds of using an outside vendor?
Robert Brennan: No, yes. So this is very much on the margin. We track it pretty granularly by region, by reason. If you zoom way out, it's essentially very similar as Brian said. But no, we don't see -- I don't know of any customer that's decided to move everything that was outsourced to an in-source basis.
Operator: Our next question comes from David Gold of Sidoti.
David Gold - Sidoti & Company, LLC: I wanted to get a little bit more color on the issues, particularly in the eDiscovery side. A couple of things, one, the pricing drop that you're pointing to, especially now, it's been going on for a long time, but is there something that happened recently? Has there been a large drop of late? I'm just trying to get a sense for basically what the catalyst was for reviewing, let's say, right now and making the decision for the write-down?
Brian McKeon: Let's look at it from a market perspective. Fundamentally, the law firms are getting squeezed very hard by their corporate customers to lower their prices, and that leads to a trend towards legal process outsourcing. There are also -- in the attempt to lower cost, they're trying to do a lot of the calling of data themselves, which means smaller matters. And the price per gigabyte has dropped precipitously over the last year, and that's what's driving this from a market perspective. Customers are just not willing to pay what they were paying for their law firms. The law firms are not willing to incur the cost associated with eDiscovery, and they're trying to drive down the size of the matter. Our cost to serve remains high even though the size of the matter is lower. So what you should hear from that is that our -- a goal of ours is to drive down the cost of offering that service, and that's something we're getting on.
Robert Brennan: And just in terms -- the second part of your question, as we've been highlighting, we've been proactively working on a number of fronts and improving performance in the Digital business. I'm looking at this in more detail. We've very recently had a change in leadership. We've highlighted the pressures in areas like eDiscovery. We've made a decision to divest a part of the business, recently the Domain Name business. And that led us to accelerate looking at the carrying values and to assess the carrying value of the goodwill. And we decided to take that step and to record the impairment this quarter, and it's part of this overall proactive effort we're taking to get the business on track.
Brian McKeon: And David, what we want you to hear is that it's taking longer than originally anticipated to build scale. But fundamentally, we have strong services that we're focused on improving our performance.
David Gold - Sidoti & Company, LLC: Part two of that, if I can add. I guess many of the competitors that we've seen have developed new products in the last few months in order to do something called quick calling, basically to reduce the cost of the servicing there. And then I guess, just out of curiosity, are you guys similarly develop -- it sounds like this may force you to develop a product similar to that, or purchase something?
Brian McKeon: Well, no. We have it. We've developed it internally. It's called eVantage, it's an early case assessment tool. It's just getting to the market now, so it's not offsetting the pressures that we've described, but it's a lower cost alternative so that the law firms can do their calling on premise earlier in the cycle. So we're very much on that. It's internally developed and it doesn't represent an area that we have to fill in, either organically or inorganically.
David Gold - Sidoti & Company, LLC: Incentive comp, can you give a sense for how much the pullback helped in the quarter?
Robert Brennan: We did quantify that, so it was about five points of the OIBDA growth, which was I believe, that's $12 million year-on-year. Keep in mind that a fair amount of that is we're catching up, if you will, for a year-to-date accruals and reflecting our most recent views. As we highlighted at Investor Day, David, we're having low incentive compensation payouts this year for the full year. It'll probably at about three points to our growth rate and in terms of our forecast. And as we look forward to next year, we'll plan for normal accruals and that is -- on a comparison basis, it will provide a drag to our OIBDA growth rate. But we are not achieving our revenue growth goals this year, and it's been -- areas like service trends that have been a real challenge for us. And that's being reflected in low incentive compensation payouts this year.
Operator: Our next question comes from Gary Bisbee of Barclays Capital.
Gary Bisbee - Barclays Capital: I guess the question is how often do you think that purchasing manager for the Digital services would be the same as the historical person you've had a relationship with for Physical, and to the extent that it does happen for a lot of these, maybe others than the hybrid that you talked about at the Investor Day to be somewhere in the IT department, how do you improve your performance there based on what I assume is developing a totally separate relationship.
Robert Brennan: Gary, it's really the synergies between our Data Protection business and our Digital business call the same decision-making stack within IT. And that's where we're combining our sales forces between Digital and Data Protection and really affecting what is the same decision-making stack. The folks who do tape vaulting are the same folks in the same position area that drive decisions around archival, around data protection, around data recovery. So that's where synergy exists. The key areas of synergy, if you look at records management, shredding, those are very synergistic calling under the same decision areas. Data protection and Digital, very synergistic. Where we sell across the product line is in the enterprise accounts and then in the smallest accounts.
Operator: Our next question comes from John Mirshekari of Fidelity.
John Mirshekari: What kind of opportunities do you guys have to refinance your debt given how low interest rates are currently?
Brian McKeon: We have been taking steps last year. We did a major refinancing of a new bond issuance and achieved a longer term on high-yield bonds and achieved some efficiency there. We've done some paydowns. We have within our longer-term bonds, obviously, prepayment costs associated with some of the longer maturities. And we basically paid down the things that makes sense to pay down in the current environment. As noted, we don't have anything really coming up soon. And we have some British pound based bonds that make sense for to -- that have a low interest rate, make sense for us to retain from a hedging point of view. So we look at that all the time and it's -- we evaluate that and we've been paying down everything or refinancing the things that make sense.
John Mirshekari: With interest rates lower now than a year ago, do you think you have room to bring down the average cost of debt which is 6.9?%
Robert Brennan: Well, I think in terms of -- we could look at areas in terms of and fixed and floating mix over time, and that could help us. And that's something that we're evaluating. We're relatively fixed right now. And that I think would be probably the primary area that we could achieve some efficiencies.
Operator: Our next question comes from Scott Schneeberger of Oppenheimer.
Scott Schneeberger - Oppenheimer & Co. Inc.: Could you just -- I guess discussing in the core storage verticals and end customers that you serve and industries, trends that you're seeing amongst your largest ones?
Robert Brennan: So from a vertical perspective, Scott, healthcare is doing very well. Legal faces the same pressures that really across their business that we have highlighted in eDiscovery. Financial Services remains our strongest segment and an area where we continue to drive more and more vital importance into that business. We're seeing very strong growth from a hybrid perspective in our core business and good progress on the Digital front as well. So vertically, Financial Services remains number one. Healthcare is moving along well. Legal is under pressure but nothing more to report really.
Scott Schneeberger - Oppenheimer & Co. Inc.: Could you just give us an update on the Mimosa integration and also customers' reception to that integrated offering?
Robert Brennan: We actually just announced this week a suite offerings with Mimosa. I'm very pleased with the quality of the product, and we're beginning to receive accolades from the analyst community as it relates to near points, mimosa's near point solution and the fact that it is further out in front of the competition in terms of market capability. From a selling trajectory, I've mentioned Sears and Varian Semiconductor in my remarks. We're starting to bring down some big names. The fact is that it's a product that many of our customers need. I'm pleased with the asset. The integration of the team is going well. T.M. Ravi is in a senior marketing role for us. We've got a good part of that team that's firmly embedded in our Digital business. So I feel very good about that potential of that acquisition.
Scott Schneeberger - Oppenheimer & Co. Inc.: Should we anticipate in the near term additional divestitures? Just thoughts on will there be similar calling with regard to you looking internally at some of your business units?
Robert Brennan: We're constantly looking at our business and understanding what's core and what's context. It resulted in the sale of the Data Domain Name business where it just rally wasn't core from the standpoint of our customers' needs. And that resulted in the divestiture. At this point, we feel we've got the right asset base and to focus on making sure that we drive results from that asset base.
Operator: [Operator Instructions] Our next question comes from Kevin McVeigh of Macquarie.
Kevin McVeigh - Macquarie Research: I'm wondering if you could just walk through the free cash flow, which was really good, particularly the full year guidance? If I did it right, it looks like the year-to-date CapEx is $174 million, but the full year is about $270 million. Is it going to be a $100 million spike in the fourth quarter? And if so, what does that relate to?
Robert Brennan: There will be higher spending in the fourth quarter, and that's typical for the business. We tend to have a number of our capacity expansion projects that are planned earlier in the year and executed later in the year. And so, if you look back in time, Kevin, we've had a pretty typical pattern of heavier spending later in the year, just in terms of how we plan the capacity additions within the Physical business. That's the key driver.
Kevin McVeigh - Macquarie Research: And then, just -- I know you're kind of pretty mad, and any the initial thoughts on 2011 relative to the analyst day? Are we still pretty much in line with where we're firming up?
Robert Brennan: I'm glad you asked. What we have is we put out preliminary numbers in terms of growth rates and outlook. Our outlook for revenue growth and adjusted OIBDA growth are on track for what we had talked about, and the 2% to 4% growth in revenue and the 0% to 3% in adjusted OIBDA. Again, just want to reinforce that some of that, the adjusted OIBDA we are working through the lapping on the incentive compensation issues, so that's an underlying growth of 3% to 6% on an operating basis. We'll work through refining areas like free cash flow and EPS, but we're on track towards what we had talked about, no changes to note today.
Kevin McVeigh - Macquarie Research: Real quick, Brian, if you could, I know you kind of talked about incremental spend at Mimosa, some targeted growth initiatives and then a pickup on the comp accrual. Do you have any sense to what the net impact overall was to SG&A for most period items?
Brian McKeon: We did highlight the incentive comp piece. I'm sorry, the other pieces you'd mentioned were...
Kevin McVeigh - Macquarie Research: I thought that there was some incremental spend from Mimosa and then some targeted growth initiatives as well?
Robert Brennan: I don't have that right in front of me on the Mimosa incremented. I apologize, Kevin, I don't want to ask any number without having them right in front of me.
Kevin McVeigh - Macquarie Research: Okay. We'll get it later.
Robert Brennan: All right. Those are the questions in the queue. We very much appreciate your attention this morning. We also appreciate those of you who attended Investor Day a few weeks back. Again, driving our- the fact that we have a strong sustainable business foundation continued to drive solid performance. We are very much focused on improving growth and are mindful of why we're here, which is to create long-term value. We appreciate your support. Enjoy the rest of your day. Thanks.
Operator: Thank you. This concludes today's conference call. You may now disconnect.